Operator: Ladies and gentlemen, thank you for standing by, and welcome to Avery Dennison's Earnings Conference Call for the second quarter ended July 4, 2015. [Operator Instructions] This call is being recorded and will be available for replay from 9:00 A.M. Pacific Time today through midnight Pacific Time, July 31. To access the replay, please dial (800) 633-8284 or (402) 977-9140 for international callers. The conference ID number is 21734746. 
 And I would now like to turn the call over to Cindy Guenther, Avery Dennison's Vice President of Finance and Investor Relations. Please go ahead, ma'am. 
Cynthia Guenther: Thank you, Amanda. Today, we'll discuss our preliminary unaudited second quarter results. The non-GAAP financial measures that we used for the quarter are defined, qualified and reconciled with GAAP on Schedules A-2 to A-4 of the financial statements accompanying today's earnings release.
 We remind you that we'll make certain predictive statements that reflect our current views and estimates about our future performance and financial results. These forward-looking statements are made subject to the safe harbor statement included in today's earnings release.
 Making formal remarks today will be Dean Scarborough, Chairman and CEO; and Anne Bramman, Senior Vice President and Chief Financial Officer. Mitch Butier, President and Chief Operating Officer is also with us today to participate in the Q&A portion of the call. And now I'll turn the call over to Dean. 
Dean Scarborough: Thanks, Cindy, and good morning, everyone. I'm happy to report another solid quarter with sales up 4% on an organic basis, continued expansion in adjusted operating margin and mid-teens growth in adjusted earnings per share. We also delivered a $45 million increase in free cash flow for the quarter. 
 As you know, we are focused on achieving our long-term financial goals both the 4-year commitments we've set through the end of this year and our new targets through 2018. I'm very pleased to say we're on track against these goals for 2015 and the longer term.
 That said, it's fair to say we expect to arrive there in a different way than we had planned for the current year. The Pressure-sensitive Materials business delivered exceptionally strong results in the second quarter, which were offset by weakness in Retail Branding and Information Solutions. So let me give you some perspective on each of the segments.
 As I said, PSM had a great quarter with better-than-expected organic growth combined with significant margin expansion. Organic growth was positive in all geographies, with Europe the strongest. Growth in China remained slow, albeit better than the pace we saw in the first quarter, reflecting weaker economic conditions there. We continue to benefit from the growth of higher-value market segments in both Europe and North America, which has been a key strategic focus for us. Graphics, for example, grew organically at a high single-digit rate in these regions, while sales of specialty Label products and Performance Tapes grew at mid- to high single-digit rates.
 Despite the recent slowdown in Asia, we believe in the long-term growth of these markets and are investing to support this growth. We're adding 3 new coding assets in Asia, providing additional capacity for higher-margin segments including tapes, specialty products and durables. And our project to recapitalize the Graphics business, which was part of the major restructuring program in Europe that we undertook last year is now complete.
 At the same time, we are pursuing growth of less-differentiated products but with an emphasis on improving profitability through disciplined pricing as well as a reduction in both complexity and cost, allowing us to be more competitive in these segments.
 Our strategic course correction, which we've discussed over the past couple of quarters to rebalance the price, volume and mix dynamics on Pressure-sensitive Materials is working. We're beating our long-term target for organic sales growth and that growth, combined with ongoing productivity and a favorable raw material environment, is driving record operating margin.  We will continue to execute this strategy, leveraging our strengths in innovation, quality and service across the entire materials portfolio.
 Now let's turn to Retail Branding and Information Solutions. The results for the quarter were clearly disappointing. Sales declined 2% on an organic basis and operating margin contracted.
 The priorities for RBIS are very clear, accelerate top line sales growth for the core business and expand operating margin and return on capital. I'm confident we'll get this business growing again and drive return above the cost of capital before 2018.
 We are winning in the higher-value segments of the business. A good example is the performance athletic segment, where customers value the global consistency and design capabilities that we offer. Growth in this segment has been consistently strong, roughly 17% annually over the last couple of years as we have taken share and leveraged the full breadth of our product solutions, including RFID and external embellishments. 
 RFID is ramping up now as more retailers begin to adopt this new technology. We are the go-to supplier in this market with a robust pipeline of new programs that are building momentum. We have better than 50% share of RFID for apparel today and expect to maintain that leadership position through 2018 based on our competitive advantages. While RFID sales have been down in the first half of 2015, reflecting the timing of various rollouts, we still expect sales to be up 15% to 20% for the full year, with growth of better than 35% in the back half.
 External embellishments represent another strong growth opportunity where we're gaining traction. Over the past 2 [ph]  Years, we have seen this business grew roughly 30% annually, albeit off a small base. We expect to continue growing these products at better than 20% annually, becoming a $100 million-plus business for us by 2018.
 Our strategy for value, contemporary and fast fashion retailers and brand needs and will change. These represent roughly 60% of the market for apparel labels, and we can win in these segments. We will reduce our fixed cost, localize our material sourcing and respond quickly to changes in our customer needs by decentralizing decision-making. We are rapidly moving to a business model that will be competitive for all segments. This strategic shift actually shares a common theme with Pressure-sensitive Materials. In both cases, we are focused on reducing cost and complexity to be more competitive in the less differentiated segments of the market.
 These aren't just short-term cost plays. It's part of our long-term strategy to win in the marketplace, expand margins and improve returns. I'm confident that we have the right leadership team and employees in place to make that happen. And we will share the details of our plan during the October earnings call. 
 In summary, I'm confident in our ability to achieve our long-term financial targets through 2018, adjusting course as needed, to deliver double-digit EPS growth and top quartile return on total capital. We'll continue to deliver strong free cash flow and we're committed to returning the majority of our free cash flow to shareholders over the long term. 
 Now I'll turn the call over to Anne. 
Anne Bramman: Thanks, Dean, and hello, everyone. I will supplement Dean's commentary with some color on the financial results for the company and segments. 
 In Q2, the company delivered a 14% increase in adjusted earnings per share on 4% organic sales growth. Currency translation reduced reported sales by 9.5% with an approximately $0.10 impact to EPS. 
 Adjusted operating margins in the second quarter improved 140 basis points to 9.5% as the benefit of productivity initiatives, higher volumes and the net impact of price and raw material input cost more than offset higher employee-related expenses. The company realized about $18 million of incremental savings from restructuring costs net of transition expenses.
 The adjusted tax rate was 34%, consistent with the anticipated full-year tax rate in the low to mid-30% range.
 Free cash flow was $130 million, an increase of $45 million compared to Q2 of last year, driven by improved working capital productivity and higher earnings.
 In the first half, the company repurchased approximately 1.1 million shares at a cost of $62 million and paid $66 million in dividends. As Dean indicated, we are committed to returning cash to shareholders and have sufficient capacity to continue our share buyback program. Consistent with our stated philosophy and strategy, we continue to be disciplined and opportunistic with share repurchases buying relatively more when the share price dips and relatively less when the share price is higher.
 Now looking at the segments. Pressure-sensitive Materials sales were up approximately 6% on an organic basis. Label and Packaging Materials sales were up mid-single-digits as were the combined sales for Performance Tapes and Graphics. 
 On a regional basis, North America delivered another quarter of low digit -- low single-digit growth, while Western Europe was up high single digits, benefiting from above-average growth in Graphics and continued strength in products for labeling applications. Organic growth for emerging regions improved compared to the first quarter, but continued to be relatively slow up mid-single digits due to softness in China as Dean mentioned. 
 PSM's adjusted operating margin, a record 12.3% for the segment, was up over 2 full points compared to last year. This improvement was driven by productivity, included continuing material for engineering savings and our recently increased level of restructuring activities, as well as fixed cost leverage through strong volume growth. We also saw a net benefit from price and raw material input costs as we continue to reinforce our pricing discipline, particularly in the less-differentiated segments of the market.
 Both North America and Europe continued to experience benefits from product mix as both regions had faster growth in higher-margin segments. 
 Sequentially, adjusted operating margin for PSM expanded by 80 basis points, primarily due to incremental savings from restructuring and other productivity initiatives.
 The Retail Branding Information Solutions sales declined approximately 2% on an organic basis and adjustment operating margin contracted by 40 basis points. Several factors contributed to the organic sales decline in the quarter. Once again, with sales up high single digits, we saw growth in performance segments for both Europe- and North America-based retailers and brand owners. However, we continue to experience declines in the value and contemporary segments, reflecting the share loss that we've been speaking to over the last few quarters. Additionally, sales of apparel labels for Europe-based retailers and brand owners were further impacted by reduced orders for apparels due to the impact of the euro devaluation on the cost of imported goods.
 As expected, sales for RFID products declined due to reduced demand from a couple of large European accounts. However, as Dean mentioned, sales in the second half are expected to grow in the mid-30% range. 
 Returning to the total segment, the decline in adjusted operating margin reflects the impact of the lower sales, including reduced fixed cost leverage and negative price and mix, as well as higher employee-related costs. These challenges were partially offset by the benefit of productivity initiatives.
 We are focused on reducing costs and streamlining our processes to position ourselves to grow and win in all the segments.
 Sales in Vancive Medical Technologies declined about 1% on an organic basis, following an 11% increase in the first quarter. Given the application-specific nature of orders in this business, we do expect sales growth to be somewhat choppy by quarter. We continue to anticipate that organic sales growth for Vancive will be faster than the company average for the full year. The segment's operating loss was reduced by nearly $1 million due to productivity actions. The team continues to focus on the milestones needed to drive long-term growth of this platform with the objective of achieving a positive contribution to earnings by year-end. 
 Turning now to our outlook for the full year, we've raised our estimates of organic sales growth modestly to a range of 3.5% to 4%, reflecting the strength of PSM in the first half.
 We have maintained our adjusted EPS guidance, as we believe that out-performance by PSM will offset the combined negative impacts of weaker-than-planned performance by RBIS and a higher-than-expected share count.
 We outlined some of the key contributing factors to this guidance on Slide 8 of our supplemental presentation materials. Several of the assumptions underlying our previous guidance have changed modestly. Specifically, for the full year, at recent exchange rates, we estimate that currency translation will reduce net sales by approximately 8%, a slight improvement from the rates in April. 
 Our outlook for the impact of currency translation on pretax earnings and EPS have not changed. As discussed, we now estimate average shares outstanding on a fully diluted basis will be in the range of 92 million to 93 million shares. We divested a small, roughly breakeven industrial printer product line in Europe during that second quarter, which resulted in the recognition of a loss and some related exit cost. We've included the loss and associated cost in our pro forma adjustment for the quarter,  [indiscernible] our estimate for restructuring cost and other items by $0.03 to $0.43 per share. As a result, while our guidance for adjusted EPS remains unchanged, we have reduced our estimate for reported EPS by $0.03. 
 Summing up, we delivered another good quarter and remain on track to achieve our 2015 and 2018 targets. Now we'll open the call up for your questions. 
Operator: [Operator Instructions] And our first question comes from the line of Ghansham Panjabi with Robert W. Baird & Co. 
Ghansham Panjabi: Can you first off give us some color on what you're seeing in Brazil and China at current and particularly, if there was a change in the monthly sales rate on a year-over-year basis during the second quarter? The economies there seem quite fluid and secure. So if you're seeing any deviations in this region just on a monthly basis? 
Dean Scarborough: Mitch, do you want to take that? 
Mitchell Butier: Sure. So looking at Brazil, overall, I'd say things -- we've got decent growth on an organic basis in Latin America in general including Brazil, but it is all due to pricing. The volumes that we are seeing in Brazil have softened quite a bit in the last couple of quarters to be quite honest. And within China, we've been seeing softening within China. We talked about it last quarter. And we're continuing to see that again this quarter. 
Ghansham Panjabi: And just on -- any comments on Europe as well? 
Mitchell Butier: On Europe? Well, Europe, specifically Western Europe, extremely strong growth is what we're seeing, and the emerging markets have been softer. So we've seen a shift here over the last couple of quarters where Western Europe is actually growing faster than emerging markets within Europe. 
Ghansham Panjabi: Okay, and then just on PSM, can you help us bridge in any way the improvement in operating profit year-over-year? There are a ton of moving parts with FX, and I would assume some level of impact from lower raw material cost as well. So can you kind of breakup a few of those pieces? Whatever you can share. 
Dean Scarborough: Well, I think -- it's a good question. It's -- every region has a slightly different sorry, so it is complicated, Ghansham. We have some markets where raw materials are more of a benefit. Europe it's actually not a benefit, because a lot of these commodity cost reductions are oil-based. And in fact, there's some shortages in certain resins that are causing us to actually increase prices right now in the European market. I'd say overall that the largest impact has been our focus in growing in the higher-margin segments, especially in Europe and in North America. So we've got quite a bit of productivity from material reengineering, from restructuring, from growth in higher-margin segments, and raw materials also had been a benefit but they're not the biggest factor in the quarter. And obviously, even with the slower market growth in emerging markets, specifically Asia, we're still seeing margin improvements in that region. 
Mitchell Butier: And the only thing I'd add, Ghansham, is just -- the only thing I'd add here is just that mix of the key component, we're talking about in driving growth in the high-value segments, as Dean spoke to. And while we have some of the net price benefit we received, it's really around our focus on expanding the margins within the less-differentiated segments and holding on to that deflation where we are seeing it in some of the less differentiated segments. We are [indiscernible]. 
Operator: Your next question comes from the line of Scott Gaffner with Barclays Capital. 
Scott Gaffner: Just following up on that question for a minute on the raw material capture within Pressure-sensitive Materials. You were up looks like a couple of hundred basis points operating margins adjusted within this segment in the quarter. It was up 160 in the first. Should we expect those sort of gains to moderate as you kind of -- the lag between price cost catches up in the second half of the year? Or these other issues around mix and the higher value more than offset any sort of compression there? 
Dean Scarborough: Yes, I think there's a couple of factors. I think we had said at the end of the first quarter, we had a little bit of uncertainty of how raw material and commodity costs would be reflected in the back half of the year. I think I mentioned that in Europe, we are actually seeing some raw material inflation even despite this. And then our fourth quarter this year is a bit challenging because of the 53rd week last year kind of moved some from, I would say, a normal amount of profit into the first quarter of this year. And so the comparisons year-over-year in Q4 are going to be a bit challenging. So that's a bit of it. I think that has no economic impact on the business, it's just the number of good shipping days in the quarter is less this year than last year. 
Scott Gaffner: Okay. Moving to RBIS, I think you mentioned you're coming up with a new plan there maybe to decentralize the organization a little bit. But you have been on this footprint optimization within RBIS for a number of years closing down a significant number of facilities and moving to digital printing in order to improve response times. I'm just curious, I know you said you'd share more details in October, but why the sudden shift? Is it more volume issue? Or is it a cost issue that caused you to make this course of action? 
Dean Scarborough: Yes, I think you used the term sudden shift, so we had a very -- as you know, we're very milestone based here. And we expected to see organic growth in the second quarter. So we realized in the middle of the quarter that we weren't going to hit those targets, we understood that we needed to be more aggressive in our shift to capturing share in the value and contemporary segment. So as always, in retrospect, I think there's a reflection that, oh shoot, we should have probably done this a couple of quarters earlier. So shame on us. 
 We do have the planning underway. Here's what happening a little bit more in value and contemporary, and that is more of the buying decisions are taking place where the products are made rather than centrally in mature markets. And we've seen a bit more of that shift. And so we need to give our teams in the regions more authority in terms of what business that they want to bid on, what raw materials they want to use. That was more centrally controlled before. So we have seen a shift in buying behavior for a lot of customers. So that's one of the major reasons that we need to move -- we need to move there. I think also the footprint consolidation's gone quite well, actually. Because we're in a position now where we're a lot more productive than we were a few years ago. We have better service quality, productivity and safety metrics. So going forward, I think we'll still tweak some of the footprint actions, but I actually feel better about our ability to execute across all segments today than I certainly would have 5 years ago. Mitch, I don't know if there's anything you want to add to that? 
Mitchell Butier: I think you captured it well. Basically, this is something that we know. We've been seeing it and talking about it the last couple of quarters about our performance relative to the market, and the need to get more competitive in the less-differentiated segments. And as we saw what kind of came in and the culmination through Q2, we decided we needed to get much more aggressive to get more competitive by reducing complexity, streamlining our processes and reducing cost to be able to be more price-competitive and win. 
 This business needs to consistently grow like what we're seeing in Pressure-sensitive Materials and expand its margins in line with the targets we've laid out in 2018. We're committed to that and confident we'll be able to get there with the course -- the adjustments of the strategy that we're talking about. 
Operator: And our next question comes from the line of George Staphos with Bank of America Merrill Lynch. 
George Staphos: I guess I wanted to start off, if possible, with a similar question, I think as Ghansham was asking, of PSM in terms of the bridge and RBIS. How much of the EBIT loss -- not loss, pardon me, but negative variance was driven by the revenue drop and the incremental margin on that? How much of that is labor inflation? And if you could put some details or some color on that, that would be helpful. And I have some follow-up on RBIS. 
Dean Scarborough: George, maybe, I'll make a high-level comment first. And one of the things that I don't think we had anticipated is that a slowdown by European brands and retailers because of the increase in the cost of clothing. Because fundamentally, they're sourcing from dollar-denominated regions, and it looks to us like -- well, actually, our customers are telling us that they're being a lot more conservative about laying in inventory into the business. So that was a bit of a surprise for us in the second quarter. As far as the margin delta? 
Mitchell Butier: Yes, so overall, your question about normal wage inflation. So we saw the normal level of wage inflation that you'd expect within the quarter. So really it's around the volume price and mix elements were the biggest single driver for the reduction in the margins that we've seen. We, of course, had to get down to productivity, as we always do. But the real shift here was the volume-price mix dynamic. 
George Staphos: Okay. I guess again, taking a step back, I mean, this business has been a defined segment for over 10 years. You started building it out in the early 2000s. It has never hit your margin targets. And I wish I could be more diplomatic about it, but aside from maybe 1 quarter or 2 where you were over 10%, it's never performed as you had expected as the latest strategy from your people within the division would have presented. So taking a step back, what should give us confidence that the latest plan from within the organization, RBIS team, will get you the performance that frankly, we would expect and that your capital providers should deserve given what's been the history? 
Dean Scarborough: Well, George, it's a great question. In our 2018 targets, we basically laid out a plan where the margins for these business would be converging. And to your point right now, they're not. They're actually diverging, because we are off-track on the margin improvement targets that we had laid in for RBIS, and Pressure-sensitive Materials has done better. And so, we clearly understand that to have an adequate portfolio for investors, these 2 businesses have to converge. So that's sort of job 1. We get it. 
 Secondly, I believe, and the management team believes, that we can improve the margins in this business. And to do so, we just need to be more competitive in the 60% of the market that we're not competitive there. So it's -- I think that the task going forward is fairly straightforward. It will take us a few quarters to get there. But I don't know if I can give you comfort other than just saying that in every single other area of the business, I think we've delivered on our commitments. And if we think we can't, George, we'll do something with the portfolio. 
George Staphos: Understood. And I appreciate the thoughts in the question -- I mean, answer, Dean, on that. From where we sit, what would you have us most closely evaluate? Intra-quarter is obviously difficult for obvious reasons, but during reporting season, that would -- aside from margins hopefully moving higher as you expect, that would tell the investor and the investment community that you're on track? I seem to remember that you needed typically 2% of revenue growth in that segment just to cover inflation. So should we be seeing 3% or better revenue growth in the segment by fourth quarter or first quarter? What other 1 or 2 things would you have us focus on here relative to RBIS? And kudos to everyone in Pressure-sensitive. I mean, it's your largest segment. You knocked it out of the park.  I don't want to overspend the time on RBIS. But if you could answer that question, I'll turn over from there. 
Dean Scarborough: Well, clearly George,  revenue growth is important. So let's -- again, let us reflect again on the RBIS business. Apparel unit growth is 1% or 2% per year, and our focus has been really to gain share in this marketplace through our various initiatives. We've been successful in a couple of segments, actually. This is -- maybe a little bit of the frustrating part is that we talked before about performance athletic. We're doing extremely well. And here's the other thing that's happening. RFID, I believe, is truly at an inflection point. So we're going to see pretty rapid growth in the back half of this year due to RFID, so I do anticipate good volume growth in the back half of the year for RBIS. Number 1, we have easier comps. Number 2, there has been definitely an acceleration of RFID programs being launched, especially in North America. And we have gained a significant share of a lot of those new programs. So I can't be specific about the retailers, but I can tell you that we're pretty enthusiastic about the way that looks. And it's a nice profitable chunk of business. And our external embellishment business continues to accelerate and grow at the same time. So we believe that there's the opportunity there, but I think the key metric for us is all about volume growth and continuing to capture share in the business. 
Operator: And our next question comes from the line of Adam Josephson with KeyBanc Capital Markets. 
Adam Josephson: Forgive me in advance if I ask anything you already addressed. I got on a bit late. Anne, 1 cap allocation question. Can you talk about your appetite for share repurchases at these levels, appreciating that you guys are price-sensitive buyers of your stock? 
Anne Bramman: So we talked about this in past calls, and it was in the -- what we talked a little bit earlier was that we do have a pretty disciplined approach. We are very committed to returning to shareholders. But we take a long-term view to this. So we -- as we mentioned, we are more opportunistic when we have dips in the share price, and we pull back a little bit when we see rapid increases in the share price, which is what we saw over the quarter. So we are still very committed and we do, as I mentioned, take a long-term view to this. 
Adam Josephson: And on PSM, just in terms of your expectations for margins sequentially, do you expect a significant sequential decline just in light of the rolling off of the raw material benefits or some of the other items that you called out? Or do you think they could in fact be fairly stable sequentially? And if so, why? 
Anne Bramman: So in general in those raw material piece, we do not see a change sequentially on that. What we're seeing on the back half is a natural shift in mix for the materials group. And then, quite frankly, Q4 was a calendar shift. It's about $0.10 to $0.14 of impact of [indiscernible] to the headwind for the second half of the year. So that's really a big driver when we look at it overall. 
Adam Josephson: You're talking $0.10 to $0.14 down from a year ago, Anne? 
Anne Bramman: Yes. 
Adam Josephson: And so the raw material, you still expect some benefit in the third quarter from raw materials, sounds like? 
Anne Bramman: Not sequentially, no. 
Dean Scarborough: [indiscernible] modest inflation going into Q3 [indiscernible]. 
Adam Josephson: Yes. Right, right, right. That was the gist of my question. Okay, and then in terms of the modest bump to your PSM sales -- or your sales guidance, and that was attributable to PSM, was Western -- forgive me if I missed this, but was Western Europe the sole reason for that upward tweak to your sales expectation? And if so, are there segments within Western Europe that are particularly strong for you at this juncture? 
Anne Bramman: So really it was an overall sales improvement from PSM. They delivered 6% organic. So it wasn't 1 particular region that drove the increase in the overall guidance. It was the general over-performance by PSM. 
Dean Scarborough: And within PSM, we're seeing the strong performance of Western Europe pretty much across the board, but specifically we are going faster in the higher-value segments, such as Graphics. 
Adam Josephson: But just geographically, Mitch or Anne, any changes other than -- what regions were stronger than you had previously expected other than Western Europe? 
Mitchell Butier: Western Europe is the standout. That should be the takeaway. 
Operator: And our next question comes from the line of Jeff Zekauskas of JPMorgan Securities. 
Jeffrey Zekauskas: Your SG&A costs were down, I think, $23 million in the quarter. How much of that was currency? 
Mitchell Butier: Currency basically made up the -- a lion's share of that. And then productivity offset natural inflation as well as some other investments. 
Jeffrey Zekauskas: Okay. In pressure-sensitive adhesives, were sequential prices in the United States up, or down or the same? 
Mitchell Butier: We don't give specific color around the various regions and what's going on. What I will say, broadly speaking, we are -- we have seen sequentially some price reductions in some of the areas or segments where we are -- have relatively higher variable margins. And where we've seen some deflation, we've basically been passing along to customers in some targeted areas. But we are, as we said, starting to see some inflation, and that's what we're watching out for right now. 
 The key thing here about the net benefit that we talked about earlier, that we saw, that we talked about for this quarter is really around holding onto it in the lower-value segments, where the returns we are getting on those segments were not necessarily EVA-positive and using this to really force the discipline to get the EVA on those lower -- the less differentiated segments up above break even, if you will. 
Jeffrey Zekauskas: In the quarter, your severance costs were a little less than $17 million. How long will it be before you pay that out? 
Anne Bramman: You're asking specifically about the timing of the cash out on restructuring? 
Jeffrey Zekauskas: Exactly right. Yes, on the $16.8 million that you booked in the quarter. 
Anne Bramman: Yes. So it could take several quarters. Yes, it could take several months for that to job happen, depends on the geography and several other factors. 
Jeffrey Zekauskas: Several months, okay. And then I guess lastly, the PSA growth of 6% relative to, I don't know, pick a unit, global GDP, U.S. GDP, is way high. And obviously, there's all kinds of weakness in the offshore markets. Is this you? Or is this the pressure-sensitive adhesive market in general? Historically, you said that PSA growth is -- turns out to be a leading economic indicator. How do you read the overall organic growth of PSA and the strength in Europe? 
Dean Scarborough: Well, I think we had a competitor report numbers yesterday. There, they also had strong organic growth. So clearly, for me, Europe is growing quite nicely. I think there's a bit of a rebound there in activity and probably easier comps from prior years. North America, as you recall last year, we didn't see much growth at all, actually for the last couple of years. And now that's growing in the low to mid-single-digits. So yes, I would guess that, that bodes pretty well for economic activity. 
Jeffrey Zekauskas: Okay. And then lastly, you talked about 30% growth in RBIS in the second half. What's the motivation for that? 
Dean Scarborough: RFID. 
Anne Bramman: RFID. 
Jeffrey Zekauskas: Oh, I'm sorry. RFID. And those are new wins? 
Dean Scarborough: Yes, because fundamentally, Jeff, we have moved on a scenario where retailers are not asking if RFID has a payback. It's all about when and how we should deploy. So we have a number of major implementations by retailers that are going to hit in the back half of this year. And it's all about getting the inventory accuracy required so they can serve their customers online, from mobile devices as well as in the store. So I definitely -- we definitely have seen the shift in behavior in RFID. So it's pretty exciting actually. 
Jeffrey Zekauskas: Like in rough terms, what are your RFID revenues? 
Dean Scarborough: They'll be about -- less than $150 million this year. 
Operator: And our next question comes from the line of Christopher Kapsch with BB&T Capital Markets. 
Christopher Kapsch: Just wanted to get a little more granular on this variance in pressure sensitive. You mentioned a number of contributors, productivity, operating leverage, mix and raws. But you also said that was more than offsetting -- benefits there were more than offsetting increased employee cost. But your SG&A cost, being down as much as they were, albeit partly from FX, is somewhat contradictory to that. So I'm just trying to reconcile. What -- how much of a headwind was this employee cost? Or conversely, were these lower SG&A costs really a big source of margin improvement in Pressure-sensitive? 
Mitchell Butier: Okay, so overall, the amount of employee cost and inflation is just the normal wage inflation that we have within this business. And so if you are... 
Christopher Kapsch: So you're talking about local currency, local currency employee cost? 
Mitchell Butier: I'm talking about local currency. So towards the SG&A overall, if you look at the -- basically the lion's share of that shift in dollar terms for the total company was currency. And then you had wage inflation, some investments we've been making. We've been making organic investments within the high-value segments, such as our Performance Tapes business, and then all of that being offset by productivity. 
 If you look sequentially, the margin expansion on PSM, Chris, just -- is pretty much productivity, a good chunk of that being restructuring. We implemented the restructuring program at the beginning of the second quarter. When we were talking through previously around increasing our competitiveness in the less-differentiated segments, we implemented some restructuring to basically get more cost-competitive to improve the margins in those subsegments. 
Christopher Kapsch: Okay. And it sounds like on a year-over-year basis, productivity was also the largest contributor to the variance. Was raw material benefit the second-largest? Just trying to get a little more granular on the benefit from raws. 
Mitchell Butier: Volume mix was the second-largest. So it's very consistent with where we were. We've mentioned the benefit on net price, if you will, between raws and the pricing element, because it's not negligible this quarter. But still, the biggest single item was productivity, followed by volume mix, consistent with what we've been seeing and talking over the last few quarters. 
Christopher Kapsch: Okay, got you. And then earlier in the Q&A, you were touching upon sort of trends on a regional basis. I think you're referring to trends during the second quarter. Just wondering if you could provide any color about order demand trends thus far into the third quarter, albeit we're just a month into it. But just by region, if possible. Any color on sequential trends thus far into the third quarter? 
Mitchell Butier: So overall, the trends we're seeing are consistent with the guidance we've been giving. If you recall going into April last quarter, we said it's a little bit softer than what we had seen in the first quarter. It then picked up dramatically in materials, and at RBIS it didn't. So it shows, again, lack of forward visibility within the business overall. So to answer your question, going into Q3, we're seeing trends relatively consistent with what we saw in Q2. So RBIS down a little bit from where we -- from where we were this time last year. And then PSM showing growth consistent with what -- what we have as particular strength in North America and Europe. 
Dean Scarborough: Well we are in the Ramadan periods. So by the way, year-over-year comparisons, because of South Asia for us in RBIS are really tough. So it's again consistent with our guidance. 
Christopher Kapsch: Okay. And then looking back historically at RBIS, particularly the Paxar business, there was -- there's only been seasonality and strength in the second and fourth quarters. And I'm just wondering, with the sort of sluggishness you're seeing out --  and I know there's some specific reasons. But is there any change in this historical seasonal pattern in the RBIS business in your view that's contributing to some of the lagging performance here? 
Dean Scarborough: Well, I don't think so. Yes, there are slight variations in the way retailers buy, I would say, over time. The seasonality gets smoothed. RFID is also going to impact that as well, because that tends to be very chunky. But fundamentally, I would say, no. I would expect the fourth quarter to -- for RBIS to be stronger than the third quarter, but not as strong as the second. 
Christopher Kapsch: I see. And then just on the capacity additions that you mentioned you'd be making, I think, in Asia. I think you said those are focused on some of your higher-margin products, tapes, graphics. Are those fungible investments? Or are those -- will those be dedicated assets for those product lines? And then are those -- the investments you're making, it doesn't sound like it's moving the needle on your overall CapEx expectations? So just wanted a little clarity on that. 
Mitchell Butier: Yes, so these assets are dedicated within China. They're focused on specialty labels and tapes. And then within Europe, they're focused on graphics. And as far as they're not having meaningful impact, these were part of our plan all along as far as level of investment. So what you'll see within PSM, we'll talk about the major points of investment, and they shift from 1 region or 1 initiative to another year-over-year. But we have these types of investments regularly. 
Dean Scarborough: Actually, Chris, these investments are just about up and running. So they're -- they've been part of our existing run rate. 
Mitchell Butier: The graphics one is actually up and running beginning in Q2. The rest of them should be by the end of Q3 or early Q4. 
Operator: And our next question comes from the line of Anthony Pettinari with Citigroup Global Markets. 
Anthony Pettinari: Just a follow-up to Jeff's question. In PSM, this is another quarter where growth in Europe seems to be outstripping other regions. Just to clarify, is that a case -- more a case of under-penetration of the product in Europe that might run its course at some point? Or are you actually seeing stronger underlying demand from consumers in Europe? 
Dean Scarborough: Anthony, it's a great question. We have -- Europe PSM, the market, has outperformed North America now for about 3 years in a row. And honestly, it is very difficult to understand why. We've had several different hypotheses over the last 3 years. Pressure-sensitive is -- it does have lower penetration in Europe, so that could be a cause but... 
Mitchell Butier: [indiscernible] Application that's driving this overall. So we are seeing some higher growth in areas that might be linked to more export markets. So you'd expect that given the lower euro that they're benefiting somewhat from that. That's a small factor. Another small factor, there's been some regulatory shift around some larger label sizes with requirements larger font sizes and more nutritional information, for example. So can't point to any 1 item though, and say this is what's really driving it. So there's a number of smaller factors. Just in general, the Western Europe -- what we're seeing and obviously what a key competitor report recently are seeing. It's just improved growth trajectories here. 
Anthony Pettinari: Got it. Got it. And then just more broadly in the PSM business, given the very strong results in the last few quarters, would you look at revising the long-term margin targets that you outlined at the last Analyst Day? 
Dean Scarborough: I don't think we would do that midyear. So it's something that we'll keep under consideration as we go forward through the year. So we only have a couple of quarters under our belt so far. And so we'd like to see how -- the volatility right now in the world is a bit strange. I will say, we've got emerging markets slowing, mature markets speeding up. We have inflation in some regions, deflation in others, and it's a lot of moving parts right now. So yes, I don't think -- we're not going to revise the guidance immediately. 
Anthony Pettinari: Okay. 
Mitchell Butier: We're testing new limits and we're committed to continuing to test those new limits. But it's really about having a balanced strategy of growth as well as the margin expansion that we've seen so far. 
Anthony Pettinari: Fair enough. Fair enough. And then just switching to RBIS, the value in contemporary segments, you referenced share loss, I think, in the back half of last year. And if I remember, commentary from last quarter's call, maybe there was a sense that, that had stabilized or maybe even reversed a little bit. And this quarter, maybe you lost some additional share. Is that sort of an accurate timeline or characterization of market -- kind of your market share and value contemporary over the last year or so? Is it -- it was down late last year and year-to-date, it's been kind of flattish? Or have you seen share loss accelerate? Or if you can give any color there. 
Mitchell Butier: So Anthony, we don't actually have a read on share for Q2. We just don't have any -- the apparel imports data that would match up to that. Because, remember, our sales basically precede by a couple of months what we actually see as far as import volumes. So when we spoke in Q1, that does seem to be stabilizing a little bit. We've since seen the import data coming in for Q1. If you recall, it was relatively choppy because of the strikes at the ports. But overall, import volume was relatively strong. So it did stabilize a bit and trends going the right way. I think the trend's still going in the right way in the U.S. It's Europe is where we've the challenge for the reasons that we talked about earlier. 
Operator: And our next question is a follow-up question from the line of George Staphos from Bank of America Merrill Lynch. 
George Staphos: A couple of quickies. Just -- I don't remember if you mentioned it on the call, if you did, I missed it. Why the taking up of the share count guidance for the year? I think you raised it by a million or 2 million shares. 
Anne Bramman: So we didn't buy back as many shares as we had planned in the second quarter, and so we went back and revised some of our estimates for the full year. 
George Staphos: Okay, so it's just a question of price of stock, but it's not necessarily indicative of what you might have before you in terms of other capital allocation decisions? 
Anne Bramman: Well, we had -- that's -- so we also had a lot of dilution in the second quarter, especially right at the very end of the quarter as the share price [indiscernible]. We had a lot of options that came into the money. So that was the element of it as well. 
George Staphos: Okay. And to RFID, can you remind us, what kind of payback period are your customers seeing on initial rollout of an RFID program? And if we could sort of bracket the mid-30s growth that you expect to see in the second half of the year. You said a number of customers, I believe, Dean. Is that 5? Is that 12? Is that 2? Is there a way, if not to the single point, is there a way to bracket how many customers are bringing on these implementations? 
Dean Scarborough: Thanks. I think from -- in terms of number of customers, we had at least half a dozen retailers -- there's probably a few more -- but the ones that I know of. And we actually have a big application outside of apparel as well. So that for me also bodes well, because we believe that RFID has relevance in other verticals other than apparel. So that was kind of a good early warning signal. And I don't recall the first part of your question. 
George Staphos: The first part of the question was just what kind of payback period are your customers seeing when they roll this out? 
Dean Scarborough: Yes, I think -- it's a good question. I'm not sure. It all has a good ROI, and retailers are, as you might guess, reluctant to share with us exactly what the payback is because at the same time, we're working with them. We're negotiating pricing for RFID tags. But I'm guessing it's got to be less than 2 years, or otherwise the retailers wouldn't do it. And I think it really depends of the retailer. And a lot of this, again, is about customer satisfaction, driving higher sales growth, merging their online, their mobile and their in-store. So I can tell by the -- I think I mentioned it in the last call, I was at the RFID show it and talked to at least a dozen retailers, and not one of them had questions about if there was a payback. So it tells me that it must be pretty good. 
George Staphos: Dean, one maybe follow-on -- and perhaps you can't comment on this, but presumably, when you're talking to your customers, your advertising what the benefits are in terms of adopting RFID. So what kind of returns do you advertise to your customers in terms of if they adopt, what kind of payback they'll get? 
Dean Scarborough: So it's formulaic, George. So it's not one average, okay? So we've got a formula, which we can share with you, because it's public. It depends on the cost of your garment. It depends on the replenishment rate. And there's a number of factors that we can give retailers to plug those variables in, and then they can estimate what the benefit and what the value is. So it's positive in, certainly, I would say garments above $10 on a unit cost basis, with decent replenishment rates. Okay? In other words, a certain percentage of those garments have to be replenished. 
Operator: And at this time, I would now like to turn the call back to our presenters. 
Dean Scarborough: Okay, well, thanks for everyone for listening today. I'm -- I'd like to say I'm really pleased with the progress that we're making this year, especially in light of some weaker economic conditions in emerging markets and certainty the headwinds that we have from currency. It takes quite a bit of agility in an organization to continue to deliver against our overall targets given the shift. So I'd like to thank all of our employees for their continued support, hard work and creativity in meeting our business challenges. 
 Again, really excited and pleased about our progress in Pressure-sensitive Materials. It's great to hit new highs on margin targets. So we're obviously going to work hard to continue to maintain our progress there. And then for RBIS, we're committed to getting this business back to the levels that we committed to for 2018, because we realize how important it is to have our portfolio relatively similar from a capital market perspective. And so we certainly understand that. 
 We're going to make progress, and we'll update all of you on some very specific plans in the October call. Thank you. 
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you  please disconnect your lines.